Operator: Good day and welcome to the Univest Financial Corporation 3rd Quarter 2020 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Jeffrey Schweitzer, President and CEO of Univest Financial Corporation. Please go ahead. 
Jeff Schweitzer: Thank you, Grant, and good morning and thank you to all of our listeners for joining us. Joining me on the call this morning is Mike Keim, President of Univest Bank and Trust and Brian Richardson, our Chief Financial Officer. Before we begin, I would like to start by saying I hope everyone listening to staying safe, you and your families are healthy. 
 I also need to remind everyone of the forward-looking statements disclaimer. Please be advised that during the course of this conference call, management may make forward-looking statements that express management's intentions, beliefs or expectations within the meaning of the federal securities laws. 
 Univest's actual results may differ materially from those contemplated by these forward-looking statements. I will refer you to the forward-looking cautionary statements in our earnings release and in our SEC filings. Hopefully everyone had a chance to review our earnings release from yesterday. 
 If not, it can be found on our website at univest.net under the Investor Relations tab. We reported net income of $18.1 million during the 3rd quarter or $0.62 per share. As our local economy reopened during the end of the second quarter and into the 3rd quarter, we have seen more activity and opportunities to grow our lines of business. 
 We experienced strong loan and deposit growth during the quarter as loans increased $257.4 million and deposits increased $342.3 million. Our mortgage-banking unit continues to set internal records with net gain on mortgage banking activities up $4.2 million dollars or 260% compared to the same quarter in the prior year. 
 Additionally, as detailed in our release, we continue to see improvement in our modified loans as the economy has reopened with the percentage of modified loans as a result of COVID-19 decreasing to $191 million or 4.1% of our loan portfolio. We continue to be pleased with the performance of our core diversified business model as our pre-tax pre-provision income during the quarter increased $4.2 million or 18.1% compared to the 3rd quarter of the prior year with our pre-tax pre-provision return on average assets for the quarter being 1.73%.
 Additionally, on October 19th, we announced the consolidation or relocation of 8 financial service centers or 20% of our centers as we continue to enhance our digital offerings, focus on efficiency and adapt our business to changing customer preferences. Before I throw it over to Brian, I just want to thank the members of the Univest family, I continue to be very proud to be a part of this team, they have adapted to a new working environment while continuing to serve our customers, our communities and each other while growing the business and moving the Corporation forward. I will now turn it over to Brian for further discussion on our results. Brian. 
Brian Richardson: Thank you, Jeff. And I would also like to thank everyone for joining us today. As Jeff mentioned, we reported earnings of $0.62 per share for the quarter with the return on average assets of 1.15% return on tangible common equity of 14.82% and in efficiency ratio of 58%.
 I would now like to touch on 4 specific items related to the earnings release. First, our provision for credit losses was $3.9 million for the quarter, which was primarily driven by the $257.4 million increase in loans. During the third quarter, we saw stabilization in the economic assumptions used within our CECL model. As of September 30th, our allowance for credit losses was 1.95% of total loans and leases when excluding PPP loans. This represented an increase of one basis point compared to June 30th.
 Second, as expected we experienced net interest margin compression during the third quarter. Reported NIM of 3.02%, decreased 16 basis points when compared to the second quarter. Reported NIM was negatively impacted by 18 basis points of excess liquidity, which averaged $329 million for the quarter and 10 basis points due to low-yielding PPP loans on the balance sheet. Core margin excluding excess liquidity and the PPP impact was 3.30%, a decrease of 13 basis points when compared to the second quarter. As a reminder, third quarter NIM was reduced by approximately 6 basis points due to the $100 million sub-debt issuance on August 5th.
 Third, as it relates to non-interest income, our mortgage banking business continues to have a great year. For the quarter, our net gain on mortgage banking totaled $5.9 million, which represented a year-over-year increase of $4.2 million. For the 9 months ended September 30th, 2020, our net gain on mortgage banking totaled $12.1 million, an increase of $9.2 million when compared to the same period in 2019.
 Additionally, noninterest income included swap fees of $2.3 million for the third quarter, which was an increase of $2.2 million compared to the third quarter of 2019. For the 9 months ended September 30th, 2020 swap fees totaled $4.1 million representing an increase of $3.4 million when compared to 2019.
 Fourth, noninterest expense was slightly elevated due to compensation cost associated with strong performance of the mortgage banking business. Variable compensation cost for this business totaled 830,000 for the third quarter. This is an increase of 535,000 versus the third quarter of 2019.
 When you normalize expenses for these variable compensation cost and the FDIC assessment credit, which was recognized in the third quarter of 2019, expenses are up 1.98% year-over-year. As Jeff mentioned, on October 19th we announced the plan to close or relocate 20% of our financial centers. Pretax one-time cost associated with this plan are estimated to be $1.7 million, which will primarily be [indiscernible] during the fourth quarter of 2020.
 The estimated pre-tax annualized savings are approximately $2.4 million. It is important to note the plan includes 2 phases. As such, the expected pre-tax savings for 2021 is approximately $1.8 million. In closing, our strong performance during the third quarter highlights the value of our diversified business model. This diversification enabled us to produce strong results despite the inherent headwinds from COVID-19 and the current interest rate environment.
 That is it for my prepared remarks. We will be happy to answer any questions. Operator, would you please begin the question-and-answer session. 
Operator: [Operator Instructions] at this time we will pause momentarily to assemble our roster. Our first, Michael Perito with KBW. 
Michael Perito: I had a few, I want to heat quickly, one just on the fee income side, obviously some environmental stuff that you guys mentioned on the mortgage side. But what I'm pretty sure is a record the revenue quarter for you guys in the history of the company. Just any thoughts on how that run rate could trend in 4Q. My guess is there is still some room for some elevation and as we look out to next year what are some of the core growth rates we should be thinking about for some of the lines of businesses. 
Unknown Executive: On the mortgage side of the equation, Mike, we, the pipeline was still strong at the end of the third quarter and we continue to, this month we believe we will also set another record for monthly funded volume internally, so that will continue, you're seeing a mix of that business now going from a, on a funded basis in the third quarter was almost 50 - 50 between purchase and refi. 
 We dipped down a little bit here. So we pick up a little bit on the refi side again over the last week or two. But refinances are eventually going to dry up just, it's just the fact, and you'll see some seasonality with regard to purchase. I would expect that will be strong through November and start to fade and [indiscernible]. 
 But we're going to get a good start on the first quarter as well, just because of the pipeline that we have in place. And ultimately, what's going to happen in the mortgage side, as you're going to lose the refi volume next year, but purchase market given the rates, I think we'll still be strong, it really comes down to what is the purchase inventory that's available for borrowers and in our footprint. 
 So, but we feel good about it. We've done a really good job in terms of recruiting additional long officers and we continue to grow that operation. So even though we will lose on the refi side and margins will come back to more of a normalized basis, we do feel good about growing that business longer term. 
 Yeah, and on the wealth side, we've seen customers coming back and being more open to talk, the second quarter was a low point for us on production, we're probably 3/4 of the way back on what we're adding from the new asset perspective on a quarterly basis right now as things have opened up. 
 With that said, we have seen some headwinds when it comes to the TD branches that we have that arrangement with as they remain closed and also the disruption of Schwab acquiring TD has really slowed that down significantly. But as things start to clear up there and hopefully as we head into next year and things open up a little, we should start to ramp that production back up. 
 But with the market having recovered a decent amount, although obviously recent selloffs, we priced off of quarter-end balances in a big way. So we expect that fourth quarter for wealth will be pretty comparable, maybe a little better than the third quarter.
 Insurance for whatever reason customers are more reluctant to change brokers of record right now. So we've had that's been slower as far as building pipelines backed up combined with impacts to premiums from employees being laid off from customers or workers' comp from employees being laid off. So we've had some headwinds there that we're trying to work through that seems to be a little slower in coming back. 
Michael Perito: But do you think it's, if we just try and normalize for the security gains, I think you guys are on pace to do about, call it $75.5 million give or take in 2020 on the non-interest income side, do you think that that [indiscernible] in the ballpark similar next year, even with the mortgage environment and normalizing [indiscernible] 
Unknown Executive: Now so we are currently going through our budget process and are not prepared to give specific guidance as it relates to 2021. However, there was favorability as we know on the mortgage side of things, as well as on the swap fee income side of things. The environment this year lends itself nicely to, to that line item. So I think there'd be a little bit of pressure on noninterest income overall if you look at it from a year-over-year basis going into 2021. 
Michael Perito: Okay Helpful. And then Mike, you talked about the mortgage pipelines or about the commercial pipelines, the growth looks, as the PPP look really strong in the third quarter. Curious, I wondered if you could maybe provide a little bit more color on that and what you guys are expecting from a growth perspective going forward given what you see in the environment today. 
Mike Keim: Yes, sir. So when you look at our third quarter growth, I think you need to look at it in terms of there is some level of pent-up demand that was second and third quarter related. Our pipelines at the end of the third quarter were still good, traditionally our third quarter is our lower quarter with the fourth quarter being stronger. 
 I would see that we will still have a very good fourth quarter by anybody's measure, but it will not be the same historical bump over the third quarter if you do that quite frankly. Yes, we feel good about what we're doing here Mike. And really what this is, is a testament to a couple of things, it would be the investment that we've made in our teams and the quality of those teams over the last couple of years, and we've also made sure that people know that we're still customers this big, know that we're still lending. 
 Now we've used our what we call our COVID-19 guidelines. So we've pulled back, we've been more conservative with regard to LTVs and making sure that the borrowers less guarantor has a strong track record of operation and if it is commercial real estate that the underlying tenant is a strong tenant that we believe can continue to thrive as we hopefully emerge out of this COVID-19 scenario at some point in time in early 2021. 
 But overall, look, we feel good about what we've done obviously and I feel good about where we're going. It will just be more of a normalized run rate from what you've seen from us in the fourth quarter on an overall basis, not traditionally what we've done in the fourth quarter, but still solid. 
Michael Perito: Okay. And at this point as you said here today, I mean, I think they [indiscernible] per se, but I think regionally, a lot of your peers are a bit more conservative on loan growth until we get into next year depending on the pace of the economic recovery, but it would seem like you guys think there is enough activity in pipeline and market share opportunities to drive some level of consistent and meaningful growth next year. 
Mike Keim: We do. Look, right now, we're seeing a resurgence of cases. But I don't think that we're going to see a complete shutdown like we did early in the second quarter into the early part of the third quarter. So you got to have some level of caution with regard to how case counts go. But as we near get closer to a vaccine and I don't think that there is a political will to completely shut down the economy, we'll continue to grow as we've said in different settings. We look at this and we are open, willing and looking to lend but they're also looking to lend on our conditions with more conservative underlying factors as we move forward and the good news is, our team is incredibly good and has contacts and we're able to continue to have that momentum and move forward under those conditions. 
Michael Perito: Great. And then just lastly [indiscernible] Brian, can you repeat the variable component of the Q3 expense number, I'm sorry I [indiscernible]. 
Unknown Executive: No problem Mike. As it relates to simply the mortgage business, the variable comp for the quarter was 830,000 that represented an increase of 535,000 versus the third quarter of last year with just the inherent seasonality in that business. I thought the most relevant reference point would be the third quarter of 2019. 
Michael Perito: And so as we think about expenses moving forward, I mean as you [indiscernible] to say so call core expenses in the third quarter of that we call it 37.7 going really make it assumption on variable mortgage comp and then later in the 2.4 million annual savings over the course of next year with a little inflation growth, do you think that generally should capture, how you guys are seeing it today or is there other things we could consider. 
Unknown Executive: Yes, I mean. Well, that was a full variable comp cost of 800. So I think when you want to normalize, you might want to take the 500,000 [indiscernible]. So you kind of be around 38 million. And then you can kind of normalize from there. 
Operator: Our next question will come from Frank Schiraldi with Piper Sandler. 
Justin Crowley: It's actually Justin Crowley on today for Frank.
 So just building off the expense commentary, I guess you know when you look at the consolidation plan and the savings, is there anything you're sort of seeing that would, I guess what I'm asking is, how much of that savings should we kind of expect to see drop to bottom line or there are other things, whether it be on the digital side or what have you, that this pandemic has caused you take a harder look at places that you think that might be worthwhile investing in, just in light of the changing environment that we're in. 
Mike Keim: On an overall basis, we will continue to invest in technology, but we've made a significant investment already. So the incremental investment going forward isn't at this point overly significant. So well I just would not look at it as there is going to be a big step-up on the data processing line for us given that some things will fall off and we'll will make additional investments as we move forward. So it would be incrementally picking up a little bit, but nothing of any magnitude. So when we look at the financial service centers, the majority of that savings that Brian referenced will fall to the bottom line, but it's also important to note, and we've announced this that we've added and/or expanding our footprint in Mechanicsburg, which is in Cumberland County and Berks County, as well as in York, as we continue to grow the business. So we will have expenses related to that expansion. 
Justin Crowley: Okay, that's helpful. And. And just as part of this consolidation, are you modeling or expecting any sort of attrition or is that just going to be a small number in your eyes, just given the nature of the locations that you're consolidating. 
Mike Keim: Look, anything could happen. But historically, our attrition rates have been very low. Our increased investments in digital and the adoption by our customers coupled with the proximity of other financial center locations. We do not expect to see a significant amount of attrition. 
Justin Crowley: Okay and then just circling back to the loan growth discussion, it was helpful commentary there. I guess I was just curious if you had any detail on the geography breakdown. Perhaps, you know how much of that with Lancaster, I know you spoke to that on the call last quarter, I believe you called out the agricultural team that was getting up and running, had some good production on the way. So, I wasn't sure if that was a factor at all in the growth that we're seeing this quarter. 
Mike Keim: Yes. We now refer to Central Pennsylvania, and the Ag team that operates in Central Pennsylvania continues to move forward in the Ag business was, was and continues to be solid. So that was a good portion of what we did, but quite frankly we grew loans across the entire footprint. We did CRE deals like I said that met the criteria when I discussed and answered to my previous question that in terms of the quality of the deals themselves in the guarantor, borrower, the underlying tenants, etcetera. So it was a good mix, a solid mix across our footprint and across our diversified loan book awesome group. So we feel really good about that and we believe that that will continue. Great. I appreciate it. 
Operator: Our next question will come from Matthew Breese with Stephens. 
Matthew Breese: Just a few from me, one on the new cost plan. The 2 phases. What should we expect from Phase I and what should we expect from Phase II. 
Mike Keim: Yes, the overall blended impact of that that you would anticipate for next year will be $1.8 million of savings. So full-annualized impact is 2.4 million when you kind of incorporate the fact that the Phase I is at the end of January, phase II is at the end of June. When you look at those specific items it comes out the net savings for next year of $1.8 million on a pre-tax basis. 
Matthew Breese: Okay. Okay and then just on the new pipeline of loans. What's the, what's the blended yield and how does that compare to what's on the books today. 
Mike Keim: So as you look at new production for the quarter. You kind of got to break it down between fixed and variable. On a fixed rate on perspective, our average rate was 368. Our books is around 4% currently. And so that's a point of reference. As it relates to variable, you got to split that out between swap loans then non-swap loans. On non-swap loans, we're seeing an average rate of about 290 which is call it roughly 260 to 270 over one month LIBOR. On swap loans, we saw a spread of about 220 and we also received average fees of about 20 basis points, which helped drive that fee income line item that I spoke about. So, yes, that in and you're looking at a 237-245 aggregate spread, however to of course that split between our net interest income and the fee income side of things, and you pull forward [indiscernible] largely into the current quarter. 
Matthew Breese: Okay, so not knowing the breakdown of the pipeline between fixed rate and variable swap or non-swap, how would you characterize where loan yields are heading do you feel like they can stabilize here or had lower. 
Mike Keim: Loan yields overall would continue to kind of slide a little bit inherently. I mean I think kind of that 3 mark, just go with 3s would be where production will be at, inherently when your books at 4%, you're going to have continued pressure on the portfolio yield as we progress forward. 
Matthew Breese: Okay, and then on the liquidity side, could you just remind us how much excess liquidity you think you're holding onto and what's the plan for deployment and over what timeframe. 
Mike Keim: Yes so for the quarter, we had 329 million of excess liquidity, that's up from roughly 250 million during the second quarter. So we expect that to continue to run out, of course we have a public funds book which built during the quarter. So I contributed some to that adding on $100 million of sub debt additionally added to that, but as we have loan growth and normal deposit outflows, we expect that to continue to diminish, it will still be elevated in the 4th quarter, the 329 million quite honestly is a peak, I think it will continue to trend down from there over the coming quarters. 
Matthew Breese: Okay and then just tying this all together, a challenge in this environment, but how would you characterize or what kind of NIM guidance would you provide for the coming quarters. 
Mike Keim: So for the 4th quarter, I think it would be reasonable to expect low to a single kind of low to mid-single-digit compression on a reported basis and slightly more as it relates to a core basis just simply again, you get a benefit of reduced excess liquidity on a reported basis, you're not going to get that benefit on the core basis. So I think that would be the guidance here for the 4th quarter and continue to see how things move forward as we get into 2021. 
Operator: [Operator Instructions]. At this time, I'm showing no further questions. So this will conclude our question and answer session. I would like to turn the conference back over to Jeffrey Schweitzer for any closing remarks. 
Jeff Schweitzer: Thank you Grant, and thank you everyone for participating today. We feel really good about how the quarter ended. Obviously, also with our decrease in modified loans that's trending in a positive direction, really good as things open up, look forward to speaking to everybody at the end of the 4th quarter.
 Please stay safe and look forward to speaking to you in another 3 months. Have a good day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.